Operator: Hello, and welcome to the Enthusiast Gaming Fiscal Fourth Quarter and Full Year 2022 Financial Results Conference Call. All participants will be in listen-only mode [Operator Instructions]. Please note this event is being recorded. I'd now like now to turn the conference over to Eric Bernofsky, Chief Corporate Officer. Please go ahead.
Eric Bernofsky: Thank you, operator. Good afternoon, everyone, and thank you for joining Enthusiast Gaming’s fourth quarter and year end 2022 financial and operating results call. My name is Eric Bernofsky, Chief Corporate Officer of Enthusiast Gaming. With me today is our Chief Executive Officer, Nick Brien; our Chief Financial Officer, Alex Macdonald; President Bill Kara and SVP, legal, JB Elliott, We'll begin with some prepared remarks from Nick and Alex before opening the floor to questions. Before we begin, I’d like to remind everyone that today’s presentation contains forward-looking information that involves known and unknown risks and uncertainties and other factors that could cause actual events to differ materially from current expectations. These statements should not be read as assurances of future performance or results. Such statements involve known and unknown risks, uncertainties, and other factors that may cause actual results, performance or achievements to be materially different from those implied by such statements. A more complete discussion of the risks and uncertainties facing the company appear in the company’s management discussion and analysis for the three month period and year ending December 31, 2022, which are available under the company’s profiles on SEDAR and EDGAR, as well as on the company’s website, enthusiastgaming.com. You are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date of this presentation. The company disclaims any intention or obligation, except to the extent required by law, to update and revise any forward-looking statements as a result of new information, future events, or for any other reason. Now with great pleasure, I would like to turn the call over to Nick Brien, CEO of Enthusiast Gaming. Go ahead, Nick.
Nick Brien : Thank you, Eric. Good afternoon. It's a pleasure to be with you all today. Thank you for joining us on our fourth quarter and 2022 year-end financial and operating results conference call. I'm looking forward to continuing to get to know you, our shareholders and analyst community, and share my insights on why I believe Enthusiast Gaming is uniquely positioned to become a leading player in the gaming media and entertainment industry for many years to come. I am very excited to be your Chief Enthusiast Officer. Enthusiast has built an incredible foundation for growth, a broad portfolio of gaming assets that reflect the diverse entertainment needs and habits of younger people. I'm confident that when the unique power of our communities, creators, content and commerce are fully integrated, meaningful long-term value will be created for all stakeholders. Our 2022 financial and operating results continue to demonstrate that Enthusiast Gaming is on a path to achieving sustained profitability. The company performed well in each of its main KPIs, including revenue, gross profit, gross margin, direct sales and subscriptions, despite challenging macroeconomic conditions that impacted programmatic advertising revenue in the second half of the year. Notwithstanding this challenge, we continue to diversify the business away from commoditized lower-margin revenue towards higher margin, solutions-based mix which is evident in the rapid gross margin acceleration, up 870 basis points in 2022. This margin growth has been fueled by strong demand for bespoke content and brand solutions, subscription and product-based offerings as well as strong performance within our Pocket Gamer Connects Live Events division. Finally, our investment in 2022 and in particular in quarter four to launch a content initiative with the National Football League called Tuesday Night Gaming, gained significant momentum exiting the year as evidenced by the growing fan engagement and new brand participation in the series. In a few short weeks I've been here, I've been meeting with internal leader in Enthusiast and doing a deep dive on the business. I'm looking forward to continuing that work intensely in the next coming weeks. We continue to see massive disruption across the media and entertainment landscape and with disruption comes huge opportunities. Gaming is the largest and fastest-growing entertainment vertical in the world with more than 3 billion people playing games, creating and consuming content and sharing fan experiences. I believe the entertainment industry is on the cusp of great change from how media is consumed to how media is bought. Change is the one constant I believe that Enthusiast can swiftly evolve its business model to capture an increasing market share. Subsequent to the year-end, we rose to become the number one gaming property in the United States for unique visitor traffic for the month of January, as measured by Comscore, which is a leading independent media and measurement firm, and is certainly one of the most widely used measurement sources by advertisers and agencies for making ad buying decisions. We have grown by 350% over the past three years on the path to becoming the number one destination in gaming. This ranks Enthusiast Gaming as a top three fastest-growing property on the Comscore Top 100 Properties list. Becoming number one in the games category is a major achievement and it's both testament to our platform's ability to reach the largest and most dedicated audience as gamers as well as a clear signal to the world's leading brands that we are the number one company to work with in gaming, in the biggest media market in the world. The opportunity for ad buys is very clear. And Enthusiast Gaming has been building a leadership position and being able to deliver scaled media and content solutions that are fun for fans and safe for brands. Comscore has validated what many of the world's largest brands have already come to know, we are the company that they're turning to, to execute on an important need to engage younger, hard to reach audiences through authentic content and engaging community experiences. Let me be clear about one thing, I believe Enthusiast Gaming is on the cusp of something really special. The portfolio of assets is really impressive and a lot of foundational work has been done. And I believe my role is to focus on unlocking and leveraging these various assets and leading ad tech to optimize inventory with first-party data to enhance our offerings and prepare for a populus future and gain a wider reach of advertisers and marketeers as they continue to look for more effective and efficient ways to connect and engage with valuable younger audiences. Now, turning to our 2022 results. In 2022, we delivered solid performance across all of our key performance indicators. Revenue grew 21% to CAD$203 million. The year-over-year increase in revenue was driven by increased direct sales, including both new logo and repeat customers, higher subscription revenue, the acquisitions and growth of Addicting Games and U.GG properties. While revenue was impacted by macroeconomic pressure on the advertising rates, particularly in quarter three and quarter four, our continued focus on higher margin revenue diversification pushed 2022 gross profit to $63.5 million, up 68% from 2021. Quarter four gross profit reached an all-time high of $18.1 million, up from $13.7 million in quarter four of 2021. Gross margin expanded 870 basis points to 31.3% in 2022 and reached 33.5% in quarter four, both records for their respective periods. The increase in gross margin continues to be driven mainly by the strong performance of higher direct sales and subscription growth. On direct sales, I'm pleased to report a strong end to the year. Direct sales grew 69% to more than $37 million in 2022, compared to $22 million in 2021, up from only $5 million two years ago in 2020. In quarter four, direct sales grew to $12.8 million, up from $8.8 million in quarter four 2021. Renewals and additional business with existing customers accounted for 50% of direct sales. This number is down from quarter three to account for the strong book of new business generated off the back of our new NFL Tuesday Night Gaming program, which was launched in September. I do want to spend some time, more time on the NFL Tuesday Night Gaming tent pole. This deal has already been transformational for Enthusiast Gaming. For those that may not be so familiar, NFL Tuesday Night Gaming is the first of its kind gaming collaboration between Enthusiast Gaming and the NFL that brings together NFL players and legends and top gaming content creators. The program debuted in September 2022. And streamed weekly on YouTube and Twitter throughout the 2022-2023 NFL season, we have unlocked value for amazing brands by placing them at the intersection of gaming and sports culture while reaching a new audience demographic at the same time. In season one, we work with incredible media sponsors such as Hulu Plus, Live TV, Xbox, TurboTax, Verizon, Paramount Plus, Disney Plus, Campbell Soups, Hasbro and the Sour Patch Kids. It is important to note that many of these media sponsors are new to Enthusiast Gaming, which is a great testament to our teams for creating this show and being able to sell through in an extremely short period of time. We are already in the planning stages for season two which given more lead time and following the success of a successful season one. We are excited about this part of our business as a driver of meaningful higher direct sales numbers in 2023, including quarter one and delivering measurable ROI on our initial investment in 2022 to launch the program. We previously mentioned because of our work with the NFL, which already received inbound requests from two other major professional sports leagues about launching a similar program for them. I'm pleased to report that these discussions are progressing and we will provide further updates as necessary. But again, these opportunities speak to the incredible programming our team is able to produce and execute on that I reiterate is relevant and fun for fan audiences while delivering tremendous value for our brand partners. Turning to subscriptions, revenue was 54% in 2022. It grew 54% in 2022 to $14.5 million. At year end, the company had 262,000 paying subscribers compared to 220,000 at the end of 2021. I believe this is a strong area of high margin growth for the business and one that I believe there is considerable one way ahead. In closing, I want to reiterate my enthusiasm for what is ahead. I believe that despite the macroeconomic uncertainty that continues, we have the diversified business model to not only survive, but to thrive. I'll now turn over the call to Alex for further commentary on our financial results. Alex?
Alex Macdonald: Thank you, Nick, our Chief Enthusiast Officer, and thank you, everyone else, our shareholders, lending partners, analysts and other stakeholders for joining us today on this call regarding our fourth quarter and year end December 31, 2022. The company showed strength in this quarter in many areas. Setting records across a number of KPIs, both financial and non-financial, at the same time it was a period impacted by both the macroeconomic environment and pressures in our sector, specifically, much lower CPMs in the programmatic advertising markets. I will speak about these dynamics as they relate to the financial results momentarily. But first, here are my usual notes. I note that our results are presented in Canadian dollars. I note that the significant majority of our revenues and expenses are measured in US Dollars and are translated into Canadian dollars for presentation in our financial statements. The exchange rate between the US. Dollar and our presentation currency of the Canadian dollar should be monitored and considered when analyzing or forecasting results. And I note that our business is typically affected by seasonal trends in digital advertising, with sequential increases each quarter throughout the year, driven by increasing ad prices and demand, which peaks in Q4. This seasonality is isolated to our media and content advertising revenue streams. I note that the typical seasonal pattern was disrupted in 2022, with Q4 programmatic CPMs showing almost no significant increase compared to earlier quarters in the year, which I will discuss shortly. But now let's speak about the financial results. Q4 revenue was $54 million, down 5% from Q4 2021 revenue of $57 million. Q4 revenue by source was as follows. Media and content, $49 million; subscription, $3.8 million; any sports and entertainment, $1.1 million. The Q4 media and content revenue of $49 million compares to $53.2 million reported in Q4, 2021, a decrease of 8%. The decrease was almost entirely driven by a decrease in RPM caused by lower CPMs in the programmatic markets. Web RPM were down 38% year-over-year. And video RPMs were down 12% year-over-year in Q4. These market price decreases in programmatic were offset by more direct sales. Direct sales were $12.8 million in Q4 versus $8.8 million in Q4 of last year, a 45% increase with the majority of direct sales being recognized in media and content. Q4 subscription revenue was $3.8 million, up 23% from approximately $3.1 million in Q4 last year. This increase was largely driven by an increase in paid subscribers, which were 264,000 as at December 31, 2022 as compared to 218,000 as at December 31, 2021. This was also paired with a higher yield on a per subscriber basis. Q4 Esports and entertainment revenue was $1.1 million, up 91% from $0.6 million in Q4 of last year. This increase was driven by more sponsorship revenue and Luminosity Gaming, and by increased revenue from our Pocket Gamer series, which held both a Pocket Gamer Connects Jordan event and an inaugural PGC Leader summit in Riyadh in Q4. Certainly in Q4, the company's business model continued to be tested against macro headwinds, particularly in the digital advertising market as seen in the CPM movements, this had an impact on overall revenue. However, at the same time, the company set records across both direct sales and subscription, and the higher margins of these revenue streams make the company inherently better positioned to absorb pricing fluctuations, and this is enabling the business to grow despite the macro headwinds, this is most evident in gross profit. Gross profit was an all-time high of $18.1 million in Q4, up 32% from $13.7 million in Q4, 2021. This propelled the gross margin to an all-time high of 33.5%, which is up 950 basis points from 24% in Q4, 2021. Total operating expenses were $30.3 million, up from $25.7 million in Q4 of last year. Operating expenses in Q4 include noncash items of amortization and depreciation of $3.5 million and share based compensation of $2.4 million, as well as a foreign exchange loss of $0.7 million. Also included in Q4 operating loss is a net impact from investments in NFL TNG of $3.7 million. After adjusting for these items, it is notable that the remaining operating loss fell below $2 million, or approximately 4% of revenue. In Q3 and Q4 2022, the company undertook a number of costs cutting measures, including the divestiture of certain legacy editorial assets, the elimination of approximately 10% of headcount in addition to the divestiture and reductions of other operating expenses primarily related to technology and content expenses. In aggregate, when excluding the NFL TNG investments, the company's recurring quarterly cash based OpEx was approximately $2 million lower in Q4 as compared to Q2 2022. When including all these items and other items affecting net loss, net loss was $12 million for Q4, down from $13.3 million in Q4, 2021, resulting in a net loss per share, both basic and diluted of $0.08 in Q4, down from $0.10 in Q4, 2021. Turning to the balance sheet, the company ended the year with $7.4 million in cash and in addition had an available operating line of $5 million for total available cash of $12.4 million as at December 31, 2022. We made operational investments in NFL TNG in Q3 and Q4 of both cash and working capital, but have now built the associated receivables and have contracts in hand from a number of Fortune 500 companies, including Microsoft, Mondelez and Verizon, which will provide cash flows from NFL TNG going forward. Also, subsequent to the year end, the company's lender agreed to extend the maturity date of the company's term and operating facilities for an additional 12-months from December 31, 2023 to December 31, 2024. The term facility is classified as a current liability on the December balance sheet, but will be subsequently moved back to long term. And now I want to talk about what to expect in 2023. We continue to expect profitability for the 2023 year. Here are the notable items which will impact how the financial results will unfold. First, on CPMs, throughout Q3 and Q4, we saw a deterioration in CPMs in the programmatic markets. As mentioned earlier, this had an impact on revenue growth in the second half of 2022. Had our RPMs stayed flat year-over-year in Q4, 2022 as compared to Q4, 2021, I am confident that we would have already been profitable in Q4. However, our job is to seek profit at all times, not just in good times. To that end, we are anticipating and planning for RPMs, which we expect to be lower year-over-year until at least Q3, 2023. Second, on direct sales. We expect similar patterns to prior years with a material year-over-year growth in direct sales, including sequential increases following Q1 for each quarter throughout 2023, incremental direct sales revenue will lead to gross margins continuing to expand in 2023. Third, on NFL TNG, we expect NFL TNG to be a contributor to profitability in 2023. We made a sizable investment in NFL TNG in 2022, and the program is proving its ability to quickly start generating ROI. Subsequent to the year end, NFL TNG has run a number of profitable episodes. NFL TNG also serves as a flagship product for direct sales generating new leads and new business which can be expanded into other products and media, supporting the overall direct sales number. Fourth, on subscription, we expect continued growth in paid subscribers throughout 2023. Historically, we have acquired subscribers only through organic channels. Subsequent to the year end, we introduced a paid user acquisition pipeline which will support subscription revenue growth in 2023. Subscription revenue has an outsized impact on profitability, as it accounts for less than 10% of revenue, but greater than 20% of gross profit. And fifth, our events business is thriving in a post COVID era with all recent large in person events both in 2022 and in 2023 setting attendance records. The above represents a continued strategic diversification into higher yield and higher margin revenue streams, which will allow us to reach profitability despite the CPM downturn. Any earlier than expected recovery in CPMs will be a bonus. I remain grateful to the analysts for their continued work on the company. I also want to congratulate my team on completing another year end, led by our VP Finance, Nathan Teal, and of course also state how proud I am of being here on this call following our new Chief Enthusiast Officer, Nick Brien, who will undoubtedly lead the company to new heights. To our shareholders and other stakeholders, including our lending partners, thank you for your continued trust in us as custodians of Enthusiast Gaming. I will leave you with one more stat I find relevant in light of the lifting of stay at home orders and public health restrictions in 2022. Our total views of contents in 2022 were 41 billion, up from 40 billion in 2021. It appears our audience, isn't putting down the controllers anytime soon. And that's good for our business. And of course, ladies and gentlemen, our business is the business of gaming. Thank you and, operator, I kindly turn it back to you.
Operator: [Operator Instructions] Today's first question comes from Kevin Krishnaratne with Scotiabank.
Kevin Krishnaratne: Hey there. Good evening. And Nick, .welcome to the EGLX team. Look, I've got a few questions just on the direct sales number. I thought it was a good number in the quarter, you said that there was a benefit from NFL. Can you comment on what the contribution was there and how we might see that continue on in Q1? I think you said it's going to continue into Q1. I'm just wondering, how do we think about direct sales into Q1? I know you said from Q1 onward, we should see sequential increases. Do we see a decline in Q1, but maybe less so than what historically would be the case given the NFL contract?
Nick Brien: Yes, Kevin, I think that's a question I'm going to direct over to Alex to respond to, please.
Alex Macdonald: Thank you, Nick. Hey, Kevin. So as far as contributions historically, I'll talk about those first and then talk about Q1. The NFL is contributing now, I mentioned a net investment number in my comments, but I can tell you NFL brought in approximately $2 million of sales. Now those sales though, involve greater than just NFL. They are primarily NFL contracts, but they can involve media and talent and other areas of our offering as far as it relates. So some immediate halo effect there I guess is what we're noticing pretty quick out of the gate just Q4 started one month after the show was launched. However, into Q1, there's obviously a normal seasonal trend. Q1 would never normally be expected to be greater than a Q4. We're not predicting that necessarily. We're very pleased. We did reference some subsequent events and subsequent success of the NFL. It's still early, but it is proving its ability to be a significant driver for direct sales, not only directly as a product offering, but bringing in new logos, unlocking - generating new leads and unlocking new business which can then expand into our other product offerings. So big year for direct sales. We're very excited. NFL is going to be a flagship product offering as part of those efforts.
Kevin Krishnaratne: Okay, that's really helpful. Maybe just to continue on with direct sales, if you take a look at the book of business that you have right now, you did the Q4 number you take that. I am wondering if you maybe comment on how many direct sales reps you have right now and how you're thinking about maybe targets for them in terms of the direct sales for the year. If you've got like, quotas to meet, how you're just thinking about any targets around, that would be helpful.
Alex Macdonald: Sure, I can carry on with that. So we got about 25 sellers on the ground. We target really by market. That's how we look at our sales team. I don't want to lead you to a preemptive number, but look, there's no question that at maturity, the sellers in our business should be generating multimillions. But we are still building those teams. Some of those teams are only introduced just recently. So we just expanded into the UK and EMEA. Our first teams were the east and the west. They're of course, driving a significant sale, but the answer is 25 sellers on the ground as of now, the average individual target would be well north of a million.
Kevin Krishnaratne: Are you adding more guys in 2023 or girls?
Nick Brien: Well, let me - Kevin, let me just say that I think that the entire approach to direct sales has been demonstrating some real momentum. And especially when we've got these really excellent major tent pole events like the NFL Tuesday Night Gaming, I've been having numerous conversations with some of the biggest brand advertisers, and certainly they're excited when we're talking about a direct sale. We're talking really about an integrated solution. We're not just talking about audience and reach-based advertising, we're talking about custom, creativity, and we're talking about compelling content that brands can really engage with. And I think that we've got the opportunity that we're talking with some significant multi brand advertisers, major marketeers like P&G, where we're seeing really extensive opportunities to look across their portfolio for those audiences, for those brands wanting to engage with the younger, the next generation of their consumers. So I think my full effort is going to be not that we're not going to continue to be razor sharp on all aspects of our programmatic advertising and ensuring that we can really be smart about how we leverage all things programmatic, but to ensure that the direct sales momentum continues with the highest caliber and the highest altitude. And I intend to personally give a lot of effort and support to the very qualified team we have. And I think so let's not also underestimate the importance of the content and the creative studio that we have because their creativity and their ideas form the foundations, the solutions that we're taking out into the market for really compelling and engaging brand engagement approaches for these major advertisers. So it is going to be a - continues to be an area of very high performance and focus and resourcing for the organization.
Kevin Krishnaratne: Got it. Super helpful. Thanks for that context. Maybe just one smaller question, that’s – in your MD&A, it's been in there for a few quarters now, maybe all of 2022, where you talked about some of the views that you've been seeing declining due to the COVID dissipating, has been offset by TikTok. You've introduced TikTok as a channel. You've got Snapchat as well. I'm just wondering if you could comment on how big the TikTok channel is as it relates to your total views. If you can provide any color there, that would be helpful.
Nick Brien: Again, Alex, can you take that question, please?
Alex Macdonald: Absolutely. So, yes, there is - so as I mentioned in my remarks, total views are up year-over-year, 2022 over 2021. We have seen a bit of a shift of a trend towards web. However, specifically relating to video, we have grown our Snapchat business, but we had a lot of success on TikTok as well. It's still a small, it’s in the low hundreds of millions as part of that overall 6 billion number. So it's not a huge chunk. The vast majority of the inventory is still on longer form videos, primarily YouTube-based. But TikTok is contributing a couple of hundred million a quarter right now.
Kevin Krishnaratne: Okay, just on that last point, too, there in the MD&A, there is some disclosure on some changes on YouTube that sort of impacted views quarter-over-quarter. Can you just talk about that as how do we think about that going forward?
Nick Brien: Yes, there's two - we're monitoring that the total views remain very strong. Two things to watch for an YouTube is the content reuse policy that they've launched and then of course the evolution and the growth of their shorts, YouTube shorts. Our content was more -- is primarily longer form, so I wouldn't say get material impact some noticeable movement we are watching, but overall, as you can see three quarters in a row, the video views very steady and of course on a year-over-year basis total view up. So those are what those refer to. Two changes, content reviews policy in YouTube and YouTube Shorts growing in popularity. But YouTube Shorts are also on the cusp that they're being monetized. They're launching that as well. So as much as that may slightly impact the long form, it's also an additional monetization opportunity.
Operator: The next question comes from Robert Young with Canaccord Genuity.
Robert Young: Hi, good evening. Welcome Nick Brien. My first question is for you. I think you said in the prepared comments that primary part of your role is to optimize inventory and I think it's an important part of the business. I think in the past the company said that roughly 2.5%, maybe 3% of the inventory is going through higher margin parts of the business, and they targeted 10%. And I'm just curious if you'd revisit that, do you think 10% is a reasonable target for where the business can go as far as optimizing net inventory?
Nick Brien: Yes. Robert, nice to meet you and talk with you. I'm not prepared. It's just too early for me to provide targets on where that is. What I do know is that when we're thinking about all aspects of our programmatic revenues, that we are really recognizing that the opportunity to leverage a data driven revenue roadmap and to really think about all aspects of the way that we're finding a way to increase our margin expansion on the programmatic revenue is going to be something we're going to be really focusing on with all aspects and continue to focus on with leveraging our data. And that's whether it's going to be in terms of whether we PG or PMP, we've got to find a way that we continue to get and extract the greatest value out of the programmatic side of the business. But it's too early for me to give targets on that, I'm afraid.
Robert Young: Okay. My second question would be around the cadence of profitability through 2023. There's seasonality in Q1, although the NFL business becomes profitable. And I guess I'm just trying to understand how we should think about modeling. First of all, it's profitability, EBITDA profitability operating margin, is it operating profitability? And then I mean how do you think about the cadence of that through the year?
Nick Brien: Well, I'd like Alex to respond to that.
Alex Macdonald: Of course. My pleasure. Yes. Seasonality in Q1, I mean, the short answer is we're targeting for each quarter in the back half of the year. That's what we're planning towards. Which is not atypical for digital media company, of course, to make their money in the back half of the year. But that's what we're planning for an improvement Q2 over Q1. And if there is any earlier than expected, I know some analysts are calling for earlier. I mentioned we expect decreased CPMs year-over-year until at least and including Q3, some analysts are calling for an earlier recovery. If that occurs, it's a benefit to us. We are not planning for it. So right now, we're targeting both quarters in the back half of the year Q3 and Q4. And on an operating adjusted EBITDA basis.
Robert Young: Okay. And then you said you expect RPMs to be a headwind until Q3. And so do you have any --what are the primary levers in OpEx if the market doesn't come back the way that you plan?
Alex Macdonald: What we pull them, we do expect them, some continued headwinds, it’s slightly has bottomed, but that's how long we take, expect the recovery period to be as far as levers, I mean we continue to run as efficiently as possible. We never stopped, in Q3 and in Q4, we cut out over $2 million of recurring quarterly OpEx through both the divestiture of the legacy assets as well as through headcount reductions and through cuts in our technology and content expense. So we haven't stopped doing that. In fact, some of that will continue to normalize into Q1. So with or without where CPMs go, we're still running as efficiently as we can, just given the environment that carries on into 2023.
Operator: The next question is from Gianluca Tucci with Haywood Securities.
Gianluca Tucci: Hi, guys, and congrats on joining the team, Nick. I'm just curious at a high level, it's been almost now 30 days since the announcement of your joining Enthusiast. In your first couple of weeks in the team, how are you thinking about the strategy at the company longer term and how it's positioned in the industry for that outsized growth that you talk about?
Nick Brien: Yes, that's a very good question. I mean, a lot of the thinking around the strategic opportunity I did when I was considering the opportunity when it came to me and I recognized that the gaming media sector, the gaming entertainment sector is presents itself with huge diversity across, as we know, 3 billion gamers across the planet and continuing to grow. And I saw that the opportunity with an organization that had its primary focus on satisfying the opportunity for the communities of gamers and fans that its breadth of proposition was not just the one thing whether it be its advertising, its own sites, its partner network, its MCN, the esports teams that they have, but the opportunity to really pull together and create bespoke marketing solutions that so many brands are looking forward to on an ongoing basis to evolve beyond a conventional push based advertising model. That's part of it. And I think the other part was to see the opportunity where we have so much subscription data and so much opportunity to leverage our first party data to enhance not only the creativity of our brand solutions, but how we continue to grow our audiences and our partnerships in the face of cookies going away. So I really loved the fact that this was an organization that extremely thoughtfully acquired some very strong assets and different capabilities, and really looking forward to continue to both direct where we apply those by looking at verticals whether we're looking at CPG or finance or transportation and starting to really approach some of the biggest brand advertisers about why and how they can work with us for the benefit and the practicality to deliver true ROI and creative impact. So I'm most excited about that. I think there's a number of areas around all things data and the leverage of technology and technology partnerships that could even enable us to be more attractive to the huge growing amount of independent gaming, fan and community sites that exist across North America. So I'm very excited to be working in, but it's hard for me to say again, I look at the strategy of a company when I'm coming in through the lens of my two eyes. What do we do better and what do we do differently? And obviously, what we do differently innovation, opportunity around the kind of conversations we can have with brands who are really looking to differentiate in highly commoditized and competitive categories with very creative and engaging partnership solutions. So that's what we're very excited about. It's not about a sale, it's about building relationships where we become embedded for those brands as a very consistent and proven part of their brand building strategy. So as I sit here 20 days in, it continues to reassure me that this organization has made some very, very smart acquisitions and how the whole is going to be even stronger than the sum of the parts when I'm able to pull these together and build on the kind of success we've talked about with the NFL program, with some of the biggest advertising in the world win and continuing to return. So, John, I hope that gives you a sort of general perspective without providing, again, specifics on things that will change or things we're going to invest in. Because again, I haven't finalized those and I haven't even discussed those with the board.
Gianluca Tucci: That's excellent color. Thanks, Nick. I appreciate that. And then Q4 showed continued strength in your margin profile on gross margins. It sounds like you continue to expect margin growth to outpace revenue growth in 2023. Is that fair to assume?
Gianluca Tucci: Yes.
Gianluca Tucci: Okay, great. And Alex, I think you mentioned this in your comments, but how much onetime expenses did Enthusiast’s book in Q4 non-recurring in nature?
Alex Macdonald: Well, what I mentioned was the, we said non-recurring, we had the total between Q3 and Q4, OpEx I said that was $2.2 million. About half of that divestiture. So I guess it became nonrecurring. And then the net investment for the NFL was $3.7 million. But the NFL program is recurring. But of course that's a net investment. That program is going to continue. I would not expect those level of OpEx going forward as recurring. But those are the numbers I highlighted, the $2.2 million from the cost cutting measures and the divestiture. And then the $3.7 million net investment in Q4 for NFL TNG.
Gianluca Tucci: Okay, that's perfect. Thank you. And then how are you thinking about the balance sheet in the context of your growth plans? Is it well positioned?
Alex Macdonald: Well, it's well positioned for two reasons. One, of course, we have, like all companies in our sector, we've been spending the last few quarters really focused on the efficiencies of our operations. So we're much leaner, also the NFL TNG program that needed to build a book of receivables and a pipeline of deals. And we didn't have that when we started in September. Now we have that. So there's a working capital investment that needs to occur. So we're lucky that way. We have some receivables flowing after year end in relation to NFL. And equally or more important, we got a pipeline of contracts. So that really some, that sets us up nicely from a working capital perspective. And as I mentioned, subsequent to the year end, NFL TNG has run profitable episodes. And then of course, I believe I mentioned it, of course the operating facility, which has also, by the way, now been extended subsequent to the year end. So working capital is in a very healthy position Another little fun fact, if you look at the trade receivables over the payables, it's in a very healthy position. So there's extra working capital on top of cash available to put to use as well. So there's a couple of angles there. It makes us feel pretty comfortable.
Gianluca Tucci: Okay. Great color. Thanks guys. And congrats again, Nick, on hopping aboard the Enthusiast train.
Operator: The next question comes from Mike Crawford with B Riley.
Mike Crawford: Thank you. Just first, given that we're 86 days through a 90 day quarter, is there any scope you can put on your revenue range that you've already achieved or expect to achieve in this quarter?
Alex Macdonald: Well, I would expect, hey, MB, by the way. MC, I would expect seasonal impact, of course, so revenues will be lower. What we've seen. We don't have guidance out on specific ranges. However, this is what we've seen. We are having strength in direct sales, so there will be a seasonal impact, but direct sales will come in strong. Subscription revenue is not impacted by seasonality. It will maintain or slightly grow itself. That would be expected. CPMs were certainly impacted. What we've seen and I think this is broadly observed in the industry, January and February continued to be periods of lower CPMs across the board across the entire market. What gives me some hope, without changing my expectations for what I said about Q3, March has had a very reasonable seasonal pattern compared to a more normal year. That indicates to me that we may have a return to some normalcy this year on the pricing on programmatic, which is very strong. However, other than that, direct sales will be strong. But expect a seasonal impact on the programmatic side. Of course, expect a seasonal impact from Q4 to Q1 and subscription will continue to grow. So that's what I would say in regards to Q1.
Mike Crawford: Okay. Thanks, Alex. And then just looking at some of your properties so you had this crypto partnership with EV.IO. I thought we might see something with Little Big Snake or another very title. Is that something we should be expecting anytime soon?
Nick Brien: Alex?
Alex Macdonald: Yes, sure. Bill, do you want to take that one?
Bill Kara: Sure, guys. Yes. With EV.IO. We continue to expand in the Web 3 space. We're having a lot of success with that game. Working with Hut 8 was a great partnership in 2022, we expect to be making further announcements regarding integrated partnerships with EV. As it pertains to the rest of our library, we're working on a pretty robust pipeline. The Little Big Snake team is working on a new additional title, which we're looking to launch in 2023, which is going to be really helpful for our growth. And we're excited about it, but these partnerships are kind of a work in progress. And so I would say Little Big Snake, not a part two, but a whole different game is in the works. And we have EV.IO and likely announced further partnerships in the near term with it as well.
Mike Crawford: Okay, thank you. And then maybe one for Nick. Now that you've been here for a little bit, do you see or what opportunities do you see to really highlight Luminosity as a brand that can be monetized in more ways versus Enthusiast as, say, holistic home for direct sales campaigns?
Nick Brien: No, it's a very good question. I think that I'm looking at it with the team that every individual product we have is got to be dynamic and competitive in its own right and drive a level of specific engagement of value with the brands, with its own consumers, with its fans. And what is that business plan? And I don't think it's just about being within the Enthusiast portfolio as a kind of credibility place, a very significant brand for us. And as we know, its revenues last year we’ve seen an increase and estimate to be able to do smarter business with it. But I am not, the team, I've met the team briefly, the team leading that once and spending time working with them again. We extend not just for its own direct sales, for its relevance, for those brands that really do lean in to esports and have a very specific level of interest in how they can work without in conjunction with our media play. But the principle you talk about that each and it doesn't really matter whether It's Icy Veins or Pocket Gamer, or U.GG, I mean any of the individual brands and the products that we have within the portfolio, all must be demonstrating how they're going to be demonstrating their own traction, their own momentum, their own customer base opportunities, as well as augmenting everything else we're doing. So I concur, I'm not going to say exactly what that strategy is yet, or whether enhancements for that, too early to do that, but the principle you're talking about is exactly right.
Operator: This concludes our question and answer session as well as the conference. Thank you for attending today's presentation by Enthusiast Gaming. You may now disconnect.